Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Seanergy Maritime Holdings Corp. conference call on the Fourth Quarter and Year Ended December 31, 2024, financial results. We have with us Mr. Stamatis Tsantanis, Chairman and CEO, and Mr. Stavros Gyftakis, Chief Financial Officer of Seanergy Maritime Holdings Corp. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session, at which time if you wish to ask a question, please press star one one on your telephone keypad, and you will then hear an automated message advising that your hand is raised. Please be advised that this conference call is being recorded today, Thursday, March 6, 2025. The archived webcast of the conference call will soon be made available on the Seanergy website, www.seanergymaritime.com. To access today's presentation and listen to the archived audio file, visit the Seanergy website following the webcast and presentation section under the Investor Relations page. Please now turn to Slide two of the presentation. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from the results projected from those forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the fourth quarter and year ended December 31, 2024, earnings release, which is available on the Seanergy website, www.seanergymaritime.com. I would now like to turn the conference over to one of your speakers today, the Chairman and CEO of the company, Mr. Stamatis Tsantanis. Please go ahead, sir.
Stamatis Tsantanis: Thank you, operator, and welcome, everyone. Today, we are pleased to present our financial results for the fourth quarter and full year 2024, along with key corporate updates. We will discuss our record profitability, strategic fleet expansion, capital return initiatives, as well as our outlook on the Capesize market and the factors positioning Seanergy for long-term success. We are pleased to report another strong and profitable quarter, marking our fourth consecutive year of profitability. Seanergy's consistent financial performance underscores the strength of our Capesize focus strategy. Our effective hedging approach once again allowed us to outperform the Baltic Capesize Index (BCI) and our diversified dry bulk peers, many of whom remain exposed to weaker performance of smaller vessel classes. 2024 was a record year for Seanergy, with net income reaching $43.5 million, compared to just $2.3 million in 2023. It is important to note that our Q4 and full-year results include one-off legal expenses related to our AGM litigation, which had a temporary impact on our bottom line. Stavros will provide further details on this later in the call. Our strategic focus remains on balancing capital returns, fleet growth, and financial discipline, ensuring maximum shareholder value as we continue to operate in a fundamentally strong Capesize market. Reflecting on our solid Q4 performance, we have declared a cash quarterly dividend of $0.10 per share, bringing our total 2024 dividends to $0.76 per share, or $15.6 million in total distribution. Additionally, we repurchased 226,000 shares at an average price of $9.44 during Q4, reinforcing our commitment to shareholder value. As part of our capital allocation strategy, we continuously assess the balance between dividends and buybacks. Given the recent pressure on dry bulk capital, we acted decisively to maximize value for our shareholders. On the fleet expansion front, we recently took delivery of two high-quality Japanese-built vessels, the Mayship and the Blueship. With this addition, our total fleet has grown to 21 vessels, representing a carrying capacity of 3.8 million deadweight tons, pure play Capesize and Newcastlemaxes. In 2024 and early 2025, we have invested $138 million in four premium vessels, further strengthening our fleet's cash flow generation potential. Given the positive CapEx fundamentals, we firmly believe that acquiring high-quality vessels at attractive valuations enhances our ability to deliver strong returns throughout the cycle. Since the beginning of 2024, we have successfully completed $174 million in financing and refinancings, reinforcing our ability to support fleet expansion while maintaining financial flexibility. Stavros will provide additional insights into these transactions, but I would like to highlight that we ended the year with a fleet loan-to-value of 45%, while expanding our fleet and delivering significant capital returns to our shareholders. The Capesize market remains well-positioned to continue strength, underpinned by robust demand for iron ore, bauxite, and coal, with trade volumes increasing in 2024, limited fleet expansion with net Capesize fleet growth at just 1.7% in 2024, and projected to decline further to 1.4% in 2025. 2024 and 2025 represent the lowest Capesize delivery years since 2003, reinforcing a favorable supply-demand balance. Despite short-term volatility, we expect the market setup for 2025 and beyond to remain highly supportive. During Q4 2024, we generated revenues of $41.7 million, daily TCE rates of $23,200 per day, and net income of $6.6 million. Slide three, prioritizing shareholder returns. Turning to slide three, our clear and disciplined capital return strategy continues to maximize value for shareholders through consistent dividends and strategic buybacks. Over the past three years, we have distributed more than $14 million in dividends, equating to $2.21 per share. When including share repurchases and convertible note buybacks, our total capital returns amount to $87 million, representing approximately 60% of our current equity market capitalization. This reflects our strong commitment to shareholder value while at the same time allowing us to strategically expand our fleet in a capital-efficient manner. Our ability to simultaneously grow the fleet and reward shareholders with significant capital returns underscores Seanergy's financial strength and confidence in the Capesize market's long-term fundamentals. As the market remains strong in the years ahead, we remain committed to maintaining a balanced approach to growth and shareholder distributions. Slide four, commercial highlights and fleet updates. Moving to slide four, Seanergy once again delivered industry-leading time charter equivalent performance in both Q4 and full-year 2024. Our Q4 daily TCE was $23,200, while the full-year TCE reached $25,100 per day, outperforming the Baltic Capesize Index by 27% and 11%, respectively. This outperformance validates our strategic focus on the Capesize segment, setting us apart from other diversified dry bulk peers who remain exposed to smaller vessel classes with weaker returns. Even amid the weaker Q4 market, we maximized earnings by strategically locking in FFA-based fixed rates for a portion of our fleet days, ensuring greater revenue stability and enhanced profitability. Looking ahead to 2025, we have already secured 22% of our available days at an average gross rate exceeding $22,100 per day. For Q1 2025, we expect an indicative time charter equivalent of approximately $13,400 per day. Our focus remains on strategically fixing vessels at profitable rates, ensuring cash flow visibility and maximizing shareholder returns. Fleet expansion continued in Q4 2024, reinforcing our position as a leading pure play Capesize operator. In October 2024, we took delivery of the 2012-built Kaizen ship, completing another year of targeted fleet expansion. Combined investment in Icon Ship, delivered June 2024, and Kaizen Ship totaled $69.3 million, representing an excellent value relative to their estimated market prices. Both vessels are on index-linked charters with a premium over the BCI, providing strong cash flow visibility into 2025 and beyond. In addition, we exercised a highly attractive purchase option for the 2011-built Newcastlemax Titanium ship at $20.25 million. At year-end 2024, Titan Ship's market value exceeded $35 million, highlighting our ability to secure high-quality assets at compelling prices. The vessel operates on an index-linked charter with a fixed floor and significant profit-sharing upside, ensuring strong earnings potential. Recent additions to our fleet include two additional Japanese-built vessels acquired since the last quarterly update: the MV May Ship, a 2013-built Newcastlemax, and the MV Blueship, a 2011-built Capesize. Total investment of $69 million further expands our high-quality, efficient fleet. The Blueship is expected to enter an index-linked time charter, while the May Ship will operate under a structured fixed-floor time charter with profit-sharing similar to the Titan Ship's charter. With 3.8 million deadweight tons of pure play, 21 Capesizes, and Newcastlemaxes now in operation, Seanergy has achieved significant fleet scale, but we remain committed to disciplined growth. We continue to evaluate strategic fleet opportunities, leveraging our deep industry relationships and access to high-quality assets to enhance shareholder value. I will now pass the call to Stavros, who will fill you in on our financial information for the quarter and the full year, as well as discussing our balance sheet and debt refinancings.
Stavros Gyftakis: Thank you so much. Welcome to everyone joining us for today's call. Let's begin with Slide five, where we will review the key highlights of our financial performance for the fourth quarter and the full year ending December 31, 2024. Our net revenue for the quarter was $41.7 million, based on a daily time charter equivalent of about $23,200. At the same time, our adjusted EBITDA and net income reached $20.4 million and $6.6 million, respectively. Despite the softening Capesize market, we delivered a solid performance, underscoring our resilience and ability to navigate market fluctuations effectively. On a full-year basis, we achieved record profitability, reflecting both the Capesize market and the successful execution of our strategy. Net revenue surged to $167.5 million, up 50% year over year, with our time charter equivalent ascending to approximately $25,100. Adjusted EBITDA grew to $98.4 million, and our net income rose significantly to $43.5 million, compared to $53 million and $2.3 million, respectively, in 2023. Earnings per share reached $2.12, posting an impressive increase from $0.12 last year. Moving on to our balance sheet, our cash position strengthened further in 2024, closing the year at $34.9 million, equivalent to approximately $1.8 million per vessel. This strong cash position was achieved despite returning $20.5 million to shareholders through dividends and share buybacks. More importantly, we maintained leverage at moderate levels despite the fleet expansion that took place during the year, keeping the total debt at $261.5 million, for a book value debt-to-capital ratio of less than 50% once again. This financial strength provides valuable flexibility, particularly in the current environment with a temporary softening of the Capesize market, ensuring we can effectively manage liquidity and seize strategic opportunities. Our total assets reached $545.8 million, while our stockholder equity stood at $262.2 million. Notably, we delivered a robust ROE of 17% for the full year, demonstrating our ability to drive shareholder value through operational efficiency and strategic capital allocation. Moving on to slide six, we can see that we once again delivered robust core profitability, with our adjusted EBITDA nearly doubling year over year. As Stamatis highlighted earlier, our time charter equivalent outperformed the BCI on both a quarterly and annual basis. Our adjusted EBITDA margin expanded to 57.6% this year, reflecting our ongoing efforts on improving operational efficiency and cost management. This improvement underscores our commitment to maintaining strong financial health, delivering value to our stakeholders even in a challenging market environment. In fact, based on the current FFA rates, we anticipate our EBITDA to reach close to $80 million for the year 2025. Additionally, our operating cash flow margin ratio improved significantly compared to last year, reaching 44%, indicating our ongoing efforts to enhance our ability to generate cash from our operations. On the expense side, we successfully maintained daily OpEx per vessel at $7,000, effectively at the same level as our previous year despite the inflationary pressure and the aging factor of our vessels. In addition, it's important to note that this record profitability was achieved despite incurring significant one-off expenses in 2024, having to do with our proxy fight and related litigation. This cost totaled $4.1 million for the year, with about 6% of these expenses impacting the G&A's net income of the fourth quarter. Turning to Slide seven, we will discuss our debt optimization initiatives. From the start of 2024 up to date, we have successfully completed $174.4 million in financing and refinancing transactions. Despite these financings, we have managed to maintain our leverage at moderate levels, with a debt per vessel currently standing at $13.8 million, slightly higher than the average scrap value of the vessels. Regarding cash interest expenses, we have reduced daily cash interest expense to approximately $2,700 per vessel. Through financing and refinancing transactions, we successfully lowered our weighted average margin in 2024 and expect this to decrease further through our recent agreements. Should this margin tightening get combined with rate cuts from the Fed, it would lead to a significant reduction of our daily interest expense. Now before we move on, let me highlight some details on our latest transactions. In February, we finalized another sustainability loan to refinance existing debt of ownership and partially financed the acquisition of our latest Newcastlemax, the May Ship. The total amount of the transaction is $53.6 million, with a term of five years and an interest rate of 2.05% plus term SOFR per annum, 55 basis points lower than the rate of the refinanced agreement. This is a sustainability-linked loan, as I said before, so the rate can be further reduced based on the achievement of certain emission reduction targets. Through this refinancing, we minimized the equity outlay for the acquisition of the May Ship, safeguarding our liquidity position in a seasonally weak market. Additionally, we recently signed a term sheet with a reputable Chinese lessor for two sale and leaseback agreements totaling approximately $34.5 million, which remains currently subject to documentation. These agreements will be utilized to refinance the only balloon payments pending this year, shaping a clear path for 2025. They are also expected to add further liquidity to the company and will bear significantly improved interest rates compared to the existing indebtedness of the two ships. Now moving to Slide eight. I would like to highlight once again our resilient operating leverage and strategic positioning to capitalize on any upward movement in the Capesize market. At the same time, our risk management strategy is in place to safeguard our revenue and cash flows against market volatility. As Stamatis mentioned earlier, we have already hedged 22% of our days for the year, effectively leveraging freight market spikes. As you can see in the graph, if Capesize rates in 2025 align with the current FFA curve, we anticipate our EBITDA for 2025 to be approximately $78 million. In a more favorable scenario, EBITDA could exceed $100 million. To summarize, we are well-prepared to navigate market fluctuations and seasonal fluctuations, ultimately driving sustainable growth and enhancing shareholder value. That concludes my review of our financial results and updates. I will now pass the call back to Stamatis, who will provide insights into the Capesize market and industry fundamentals. Stamatis?
Stamatis Tsantanis: Thank you, Stavros. Slide nine. Overall, 2024 was a strong year for the Capesize market, with the BCI averaging $22,400 a day, a significant increase from the $16,600 a day in 2023. The combination of historically low fleet growth and rising tonnage demand from Atlantic basin cargoes continues to support a positive long-term trajectory. While short-term volatility remains driven by factors such as weather disruptions, inventory destocking cycles, and seasonality, we believe the structural fundamentals remain strong, supporting sustained vessel earnings in the years ahead. In Q4 2024, the Capesize market experienced a correction, with the BCI averaging $18,300 a day, compared to $24,900 in Q3, and $28,100 in Q4 2023. This decline was mainly due to reduced Brazilian iron ore exports, lower Capesize coal cargoes from Eastern Australia, and weaker Panamax rates, which increased downward pressure on Capesize vessels as smaller ships absorbed part of the coal trade. For the full year, Capesize ton-mile demand grew by approximately 4%, fueled by higher seaborne iron ore shipments, as Brazil achieved its highest production since 2019. China's bauxite imports reached 159 million tons, up 18 million tons from 2023, with over three-quarters transported on Capesize vessels. Fleet growth remained limited at around 2%, insufficient to match demand growth, resulting in a tighter market for most of the year. Regarding the 2025 market outlook, looking ahead, Capesize demand is expected to be increasingly driven by rising Atlantic to Asia cargo flows, leading to longer voyage distances and higher tonnage requirements. West African bauxite exports are expected to increase by about 20 million tons in 2025, supported by rising global aluminum demand and improved export logistics. Iron ore trade growth is expected, with Brazil's Vale exports remaining very strong, and in addition, we expect to see the Simandou Mining project in West Africa set to finally commence seaborne iron ore shipments in late 2025. Coal demand is also expected to remain strong, with China's coal imports surging 14.4% in 2024, as domestic production struggled to meet demand. While short-term fluctuations may occur due to inventory cycles, long-term demand remains solid, particularly for industrial and energy needs. These factors set the stage for a potential demand upturn in the second half of 2025, supporting a stronger market environment and higher Capesize charter rates in the coming years. Slide ten. On the supply side, vessel additions remain highly constrained, with effective Capesize fleet growth projected at just 1.5% for both 2025 and 2026. The current order book is at the lowest levels in 20 years. Upcoming environmental regulations are set to further restrict new vessel deliveries. Factoring in the extensive dry dock schedule in 2025, of the global fleet, net fleet growth could drop to as low as 1%, reinforcing a tight supply environment. Additional port congestion remains at historically low levels, meaning any potential disruptions could only significantly impact vessel availability and push up charter rates. Looking at newbuilding activity, there have been zero new orders placed this year, and given the pricing gap between new builds and secondhand ships, we do not expect this trend to change in the near future. With only 40 Capesize vessels scheduled for delivery in 2025, the combined deliveries for 2024 and 2025 represent the lowest level since 2003, a highly favorable dynamic for the supply of vessels. Given the tight supply backdrop, environmental regulations continue to reinforce the need for fleet replacement while reducing vessel speeds and limiting overall capacity growth. This structural slowdown in fleet expansion and operational efficiency supports a strong long-term outlook for the Capesize fundamentals. Conclusion. Seanergy's pure play Capesize strategy is now a proven model, positioning us to capitalize on long-term industry tailwinds with three clear objectives: Capital returns. We remain committed to maximizing shareholder value through dividends and share buybacks. Fleet Growth. We focus on strategic high-return fleet expansion, ensuring sustainable value creation. Financial strength. We continue to balance growth with financial discipline, maintaining a flexible balance sheet that allows us to navigate market volatility while enhancing returns. Seanergy is successfully delivering on these priorities, as reflected in our strong financial performance and share price growth. With a favorable Capesize market outlook and a disciplined strategy, we remain well-positioned to drive sustained value for our shareholders. On this note, I would like to turn the call back to the operator and answer any questions you may have. Operator, please take the call.
Operator: Thank you. To ask a question, you would need to press star one one. Our first question comes from the line of Liam Burke from B. Riley Financial. Please go ahead.
Liam Burke: Thank you. Hi, Stamatis. How are you doing, Stavros? Hi. Good morning, Liam. Nice speaking to you. Thank you. You too. Stamatis, we are all familiar with the supply-demand dynamics long-term of the Capesize fleet, but the rates were understandably very low in the first quarter for a number of reasons, including seasonality. But they took a, you know, fairly precipitous bounce into the end of the quarter and into the second quarter. Can you give us a sense as to, you know, what's created this, you know, pretty steep short-term rebound?
Stamatis Tsantanis: That's a great question, Liam. The short answer to that is it is not the Capesize segment's fault. It is actually the reason why we have seen very limited congestion on the Kamsarmax. So we have assessed that the previous, let's say, six months from September onwards, congestion of the Kamsarmax went down to almost zero. I will discuss for a few seconds about the Kamsarmax just to let you know what I mean. Kamsarmax, at any given point, there were 100 to 200 ships waiting at Parana River in South America. There were 100 to 200 ships waiting to pass the Panama Canal due to the previous periods of the drought. And you had another 100 to 200 Kamsarmaxes in the Black Sea for the grain corridor. Nothing of that exists today. Since the second half of last year, all of these approximately 600 ships are out and about looking for cargoes, and the Kamsarmax market collapsed down to $5,000. So we had this paradox back in September, October where you had the Capesize market at $25,000, and the Kamsarmax market at $5,000. So unavoidably, the charters started to split the cargoes. And a lot of Kamsarmax ships started to pick up coal cargos from the Capesize, cannibalizing the Capesize sector. So that's the main driver, low congestion, of the Kamsarmax market is what led to this sharp decline in the Capesize rates as well. Because since the beginning of the year, the volumes are super high. You know, you had the closure of the Red Sea, which also has helped the market. And at the same time, you had the very low speed of the fleet. We have the lowest fleet speed on the Capesize over the last five years. All these factors combined and of course, the supply of ships is very limited. All of these factors combined, you know, would have implied a market of $25,000 and $30,000 a day. But that didn't happen because, unfortunately, the smaller segment cannibalized Capesize and Newcastlemax. Now we have seen that starting to reverse, and that's why we have the futures at these higher rates for the remaining of the year with an average of $22,000 a day. So that makes us feel a little bit more optimistic about, you know, the prospects of the year. But, unfortunately, it was not driven by the fundamentals of the Capesize segment. It was due to the fact that we had more effective supply on the Kamsarmaxes into the market. That's our initial assessment, internal assessment from our research department and speaking to a lot of market participants.
Liam Burke: That's great. Thank you. Stavros, these are nitpicky questions, but, I mean, on both OpEx and SG&A, you had on the OpEx, you had delivery expenses on the new vessels and on the SG&A, you had legal related to the proxy fight. Going into next year, are those one-timers behind you or do you have some excess costs coming into the early into the first quarter?
Stavros Gyftakis: Hi, Liam. Hello from my side. So no. Going forward, we expect OpEx to remain pretty much at the same level at around $7,000 per ship per day. And then on SG&A, a good proxy would be 2023, taking out all the expenses that we incurred for the litigation, which were around $4 million for the full year, around $2.4 million of which hit the bottom line of the fourth quarter. We expect this to range about $1,500 to $2,000 per vessel per day.
Liam Burke: Great. Thank you very much.
Stavros Gyftakis: Thank you, Liam.
Operator: Thank you. Your next question comes from the line of Mark Reichman from Noble Capital Markets. Please go ahead.
Mark Reichman: Thank you, and good morning. Hi. Good morning. I have just I wanted to focus on the first quarter of 2025. So you've already given the operational days at 1,766, which is actually a little higher than what we had in there. Does that include both the Blueship and the Mayship? As of, you know, their February delivery dates?
Stamatis Tsantanis: Well, the answer is yes. So that includes the ships that were delivered to us earlier than what we had initially anticipated. Thanks to our good contacts with the sellers and good relationships, we managed to take delivery of these two great assets ahead of time that is going to help us put them into work immediately. And especially starting in Q2 that we see the market going up a lot compared to Q1. So that's the short answer for that.
Mark Reichman: So is Q1 is that 19 vessels or is it 21 vessels? I mean, will they go will they will they start earning money beginning in the second quarter, or will they be in service in the first quarter?
Stamatis Tsantanis: Well, I think that you can count in 21 ships from Q1. I would say an average of, I don't know, 19.75. Something like that. Yeah. Okay. Gotcha. Now the other question is, the off-hire days. So I know you'd plan to do a you know, three dry dockings in the first quarter and then one dry docking each quarter after that. Could you just maybe talk a little bit about your expectations there in terms of off-hire days?
Stavros Gyftakis: Yeah. You should expect around high mark this troubleshooting. You should expect around 20 to 25 off-hire days per vessel during the dry docking. Although, as Stamatis has noted previously, this is a peak dry docking year for the Capesizes. The majority of the fleet was built around 2009, 2010, 2011. So there in some cases, you expect unforeseen delays. We expect the dry docking days to move a bit forward due to the congestion, so to say, in China's shipyards right now. But on average, I would factor in 20 to 25 off-hire days for each dry docking.
Mark Reichman: Okay. Great. And then just lastly, you know, just looking at the Capesize vessel rates, I mean, obviously, kind of in the low twenties, the first quarter expectations are quite low. Just looking ahead, I mean, do you expect, you know, that they might hold at these levels or increase, or do you think some of the worries, you know, surrounding, you know, trade moves might have an impact, or do you just think the fundamentals of the Capesize market, you know, kind of rise above it all?
Stamatis Tsantanis: Well, that's the billion-dollar question, I guess. We are generally very optimistic because the fundamentals of the Capesizes appear to be very strong. Also, contrary to most, if not all of our peers, we have zero Chinese-built ships with the exception of one. Yeah. So we don't anticipate to be affected by any levies, you know, for port calls in the United States. Not that we do, but, you know, we don't expect to be affected by that. All the tariffs and trade wars that are being discussed can be either very bad news for the global trade, not just dry bulk and Capesizes, but the global trade, but also can be excellent news once, you know, the market normalizes into new trade patterns. We cannot at the same time, we may have some positive news about the wars ending, constructions, things like that that are fundamental for the Capesize trade. Nevertheless, Capesize demand for raw materials like iron ore, coal, and bauxite has been very, very strong. So all these fluctuations about freight rates are not driven by the demand that we find to be very strong, but from effective supply of things not so much related to Capesizes.
Mark Reichman: Okay. Well, thank you very much. It's very helpful.
Stamatis Tsantanis: Very welcome, Mark.
Operator: Thank you. Your next question comes from the line of Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thank you. Good day. I was able to see the report on the dividends and insider purchases. And then some of your comments about the coal trade I mean, any impacts from less coal demand in Russia in Europe maybe if there's less conflict with Russia going forward or you're seeing higher demand in general in Asia for coal.
Stamatis Tsantanis: Good morning, Tate. Thank you. About coal trade, we're generally very optimistic about coal trade altogether. President Trump has many times mentioned that coal is expected to drive a lot of the increased energy needs for data centers and all other things associated with energy. In the near future. So we're very optimistic about coal. There is a lot of new building capacity of coal-fired power plants globally, more than 100 gigawatts of new energy production driven by coal. So overall, we don't see coal demand subsiding anytime soon. But we feel that coal will continue to rise in the near future a lot.
Tate Sullivan: And that's fine. Well, to confirm, no new build orders yet? Year to date, are there any indications of Chinese company building or private companies exploring this? It's just very, very low activity.
Stamatis Tsantanis: Sorry. Can you please repeat the question, Tate? Because you're breaking up.
Tate Sullivan: Oh, just new build activity? Do you just take zero orders? Year to date. Early build communicates.
Stamatis Tsantanis: Yes. It's very limited. There's a lot of factors leading to that. There is uncertainty about Chinese-built ships. And also all the slots that could otherwise build Capesizes are pretty much taken until mid-end of 2028. So we don't really see any immediate threat for new buildings coming into the market, you know, for many, many quarters looking forward.
Tate Sullivan: Yeah. Thank you.
Stamatis Tsantanis: You're very welcome, Tate. Thank you.
Operator: Thank you. Your next question comes from the line of Lars Eide from Arctic Securities. Please go ahead.
Lars Eide: Thank you for taking my question.
Stamatis Tsantanis: Good morning. It's a pleasure. Good afternoon.
Lars Eide: I still have a question regarding the market outlook. So as you all know, there's a lot of stuff going on in the scene of geopolitics nowadays with China committing to GDP growth. Target of 5% early this week. And, Trump, of course, what kind of developments are you monitoring the closest and what do you think to have the most what do you expect to have the most impact moving forward? In the near and the medium near term?
Stamatis Tsantanis: Well, it's a combination of events. As I mentioned in the previous questions, we don't really see any problems with demand, and we haven't really seen any problems with demand for the last two, three years. Since 2023, 2024, and 2025, it appears that demand for raw materials will continue to be very strong. Even though you had bankruptcies in China from the real estate developers and all these things, they still imported 4 to 5% more raw materials in the previous year. So demand is not the issue. At the same time, supply appears to be quite contained. We were not expecting the big price differential between Kamsarmaxes and all this immediate drop of the Kamsarmaxes in the second half of last year, and I don't think that everybody did. Given where the futures and the estimates were in May and June last year. So the second half was extremely weak, and that is what, you know, pulled down the Capesizes by splitting the cargoes of the Capesizes into. It's always about the supply. So when you have increases of effective supply, this is what makes the market appear to be weaker. Also, if we come to a full-blown trade war globally, which we give a very small percentage as a probability. If we come to that, then we may see a temporary reduction of overall global trade. But this is not going to affect Capesize. It's going to be affecting all segments of shipping altogether in global trade. So I hope it will not come to that, and I believe that the inertia of the global increase of the GDP is unstoppable. And I certainly hope that we will see strong demand for raw materials going forward.
Lars Eide: Okay. Thank you very much.
Stamatis Tsantanis: Thank you.
Operator: Thank you. There are currently no further questions. I will hand the call back for closing remarks.
Stamatis Tsantanis: Well, thanks once again, everyone, for participating in our call. Looking forward to updating you soon with further developments, and we look forward to a better market for the remaining of the year. Thank you very much, and have a great day, great afternoon, wherever you are. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please standby.